Lluc Sas: Good morning and thank you for joining us for Sabadell Results Presentation for the Fourth Quarter of 2020. My name is Lluc Sas, I am the Deputy Head of Shareholders and Investor Relations, and presenting today are our CEO Jaime Guardiola and CFO, Tomás Varela. This quarter, we plan to spend around 40 minutes presenting our results and then we will answer your questions for an additional 20 minutes. Today's presentation will take the following structure. Our CEO will start by going through the key developments of the year before providing some details on the most significant topics. He will also give details about commercial activity and business performance. Our CFO will then discuss financial results, asset quality, liquidity and capital, before our CEO concludes with some brief closing remarks including the main achievements in 2020 and the priorities for 2021. I will now hand over to Jamie Guardiola to kick off our presentation.
Jaime Guardiola: Good morning, Lluc, good morning, everyone. Thank you for joining us today. Before we begin our presentation this morning, I would like to take a moment to reflect on this being my final results presentation as CEO of Sabadell. As you all know, in December, the board approved the nomination of Mr. César González-Bueno as our new CEO. We also announced this morning that the board has approved the appointment of a new CFO, Leopoldo Alvear. Consequently, today will also be Tomás' final results presentation. This change in leadership signifies a new chapter for the bank. I have every confidence that Sabadell will succeed under the new leadership team. In the coming months, we'll be working closely together to ensure a seamless transition period. Cesar will lead the development and execution of our new strategy which will be presented to you in May, soon after the first quarter results presentation. Without further ado, I would like to kick off our presentation by going through the key developments during the year in this light for. Firstly, I feel it's important to highlight this action we have taken to further improve our NPA quality and our conservative provisioning efforts in the quarter. This explains our full year net profit at breakeven with extraordinary provisions amounting to €1.2 billion and financial performance significantly impacted by the COVID-19 pandemic. Secondly, our franchise performance in the quarter has remained solid. Core banking revenue growth was as strong again in the quarter while recurring costs decrease, both in the quarter and year-on-year. Thirdly, deficiency plan in Spain has been implemented with great success. The restructuring costs finally amounted to €314 million, implying gross annual cost savings of €141 million going forward. We will fully benefit from these savings as from the second quarter of 2021. Fourthly, the credit cost of risk was 86 basis points at the end of the year, which is in the lower range of our guidance of 85.90 [ph] basis points, even after migrating some loans to different stages. Next, this quarter, we have made significant progress in our balance sheet de risking by selling one €1.2 billion of vintage NPAs. That will leave our NPL ratio at 3.6% with NPLS classified as more than 90 days past due and older than three years having a net asset value of just €360 million. And finally, our capital position continued to show resilience. Our fully loaded CET 1 ratio remains stable the quarter of 12% even after from rolling some regulatory implementations previously expected in 2021. In facing terms, our CET 1 ratio ended the quarter at 12.6%, which is more than 350 basis points above our regulatory requirement, including our last issuance of Tier 2. At the same time, we still have €1.2 billion of unrealized capital gains remaining in our held-to-collect portfolio that are not included in the capital ratio. Now, let me go into more detail about three specific topics: the resilience of revenues, the physical revenues, the benefits of the efficiency plan in Spain, and the work carried out to offload vintage and legacy NPAs from our portfolio. Let's start by discussing the resilience of our banking revenues on Slide5. We have some levers to improve our core banking revenues in the current low interest rate environment. In the first place, we expect new lending to be robust and combined by lower attrition rates. Also, TLTRO III have recently been improved, allowing us to withdraw an extra €5 billion at the next auction. Moreover, we will benefit from the 12-month extension of the Federal Interest Rate period with a rate of minus 1%, as long as we meet our net lending target, which we expect to do; these improved conditions will lead to higher and higher levels, at the more than €85 million in 2021 and €80 million in 2022. On the fees' side, if we compare ourselves with our peers, we still have room to increase the fees charged to non-loyal customers. Moreover, wholesale deposits may potentially be gradually repriced with negative interest rates. SME and corporate current accounts and deposits are gradually being charged a variable fee linked to the outstanding balance. So, all these levers will improve our revenues and mitigate headwinds such as the ALCO bond sales, which will reduce our NII for by €75 million in 2021. In the future, we can eventually offset this impacting by reinvesting. Clearly, interest rates are still going to be a headwind in the coming quarters. In this regard, let me highlight that only €22 billion of our loan book are sensitive to the decreases of the 12-month old lever [ph] and the reprice once a year. It is worth noting that more than 85% of new lending and 40% of the stock of our mortgage individuals are fixed rate. Moreover, lending to SMEs and corporates is also mostly fixed rate. Another important factor is that only 3% of the ALCO portfolio will mature over the next two years. Therefore, it's not subject to further investment risk. And finally, in the UK, we have a five-year caterpillar structural hedge with a notional value of £22 billion at TSB, which will reprise gradually over that time. Moving on to Slide number 6, you can see the details of our efficiency planning in Spain, which we have successfully executed during this quarter. In the first quarter of 2021, we will have reduced our employees in Spain by 11%. Let me point out that these employees were not part of our salesforce. They mainly work in the corporate centers and servicing activities. As you know, this efficiency plan focuses on the digitization of customer services and on the simplification of corporate centers. We believe that we have executed the plan successfully, because we have completed in a short period of time, just five months after starting negotiations. And also, because it was negotiated process, which ended with a high rate of voluntary uptake among the targeted employees with no impact on employee experience. All-in-all, this plan should allow us to generate gross annual savings of €141 million, with 100% cost, saving us from the second quarter of this year, implying a payback of 2.2 years. To finish this first section of the presentation and in Slide 7, we go through the improvement of our risk profile after the vintage NPL disposals during this quarter. Since 2013, when the stock of NPS peaked at almost €25 billion and our NPL ratio reached 19%, we have normalized our stock of NPS and lower our NPL ratio to 3.6%. Past due [ph] NPLs stand at €3 billion after a reduction of €1.2 billion in the last year, which implies a decrease of around 30% year-on-year. Furthermore, this is very important; there has been a huge improvement in the profile of these NPLs. It is worth noting that almost half our current NPLs are classified as unlikely to pay and that we just have a small exposure to NPLs older than three years. Moving on to business performance. Looking at our performance loans by region in Slide 9, this quarter's growth continued to be driven by a very dynamic mortgage book at TSB as a result of higher activity levels in the UK market. This was partially offset by a migration of performing loans to different stages in Spain, and by lending volumes in foreign branches. Volumes in Mexico decreased in the quarter but they were they were still up by 13% year-on-year. Overall, good performing loans grew by 0.4% in the quarter and by more than 4% year-on-year. Slide 10 shows customer balances excluding TSB. On the left-hand side, you can see that performing loans decreased slightly in the quarter due to a conservative migration of loans from Stage 2 to Stage 3 with a total value of €700 million, but they grow by more than 4% year-on-year. Two of the main segments to support volumes where mortgages. We show a solid growth both in the quarter and year-on-year, and SME lending which increased in the quarter despite the lower demand for ICO-guaranteed loans. On the liability side, our customer funds grew by more than 1.5% in the quarter, driven by both on balance sheet and off balance sheet funds. Mutual Funds grew by more than 6% in the quarter, boosted by higher mark to market valuations. Moving on to Slide 11; in terms of commercial activity in Spain, we can see that performance in the fourth quarter was good, particularly when taking into account the COVID-19 restrictions that have been in place during the year. The total turnover of our retail payment services declined mainly due to a drop in payments by non-Spanish individuals because of the lower levels of international tourism. On the other hand, point of sale turnover originated by Spanish individuals remain flat year-on-year. In terms of market share, we recorded an increase of 21 basis points year-on-year. Credit card turnover remained at pre-COVID levels. Our market share decreases slightly due to our higher exposure to corporate cards, where turnover has fallen significantly due to the COVID restrictions. New insurance premium shows a strong recovery and ended the quarter close to the levels of the fourth quarter of 2019. Regarding mutual funds, we are taking advantage of our partnership with Amundi and have recorded the highest annual volume of assets under management this year. Our market share has increased by four basis points year-on-year. Moving to Slide 12; at the bottom left of the slide, we can see how the new mortgage lending has consolidated its recovery in the fourth quarter, reaching the highest levels of the year. At the same time, we have observed positive growth in new loans to corporate with a higher proportion of non-ICO-guarantee loans. In fact, only around 25% of new SME loans recorded in the fourth quarter were ICO-guaranteed loans. As you know, most of this demand was concentrated in the second quarter of 2020. Throughout the year, new SMEs loans were up by 38% compared to 2019. Looking at the right-hand side of the slide, we can see how great fertility [ph] drawdowns and consumer loans have decreased slightly as expected. Turning now to TSB in the Slide 13; on the asset side, net lending grew in the quarter across products, mortgages continued to perform very well growing by 3%. This was mainly driven by the recovery of mortgage market activity. And secure lending growth was supported by digital improvements in our offering, as well as by more competitive pricing. Business banking loans kept growing, but at slower pace driven by demand for the UK government's bounce back loan scheme. Overall year-on-year, net lending was up by more than 7%. On the liability side, customer funds continue to increase across all products recording significant year-on-year growth of around 14%, which shows the trust that customers place in TSB. The figures on the left-hand side of Slide 14 further demonstrate the good performance of TSB's commercial activity. New mortgage lending volumes are the highest they have been in several years. Meanwhile, new unsecured lending also continues to perform well. Additionally, in 2023, has also made substantial progress in other areas of its strategic plan. Regarding customer focus, TSB has continued to enhance each offering by launching new products and establishing new partnerships. A new brand proposition has also been launched, built around the slogan ‘Life Made More'. TSB also has a focus on simplifying its operational model. This year, 93 branches were close and the workforce were reduced by 600 FTs [ph]. The pace of digitization has accelerated during the year, with customers increasing their use of digital channels and digital sales consolidating as a solid growth trend. The modern multi-cloud and UK based IT platform as TSB has been vital in accelerating the delivery of its strategy and extending digital service to customers. In Slide 15, we provide details of all the key COVID-related financing solutions that we have offered to our customers both in Spain and in the UK. Statutory payment holidays in Spain are currently non-material. We're granted around €1 billion of such repayment holidays. When those gradually expired, around 60% of the volume was migrated to the sector specific program. The other 40% of expired statutory payment holidays have mostly resumed payments, with no significant impact on asset quality. The outstanding principal of sector-specific payment holidays ended the quarter at €2.4 billion, with non-material parts [ph] exposures. In the UK, TSB-granted payment holidays amounting to more than £5 billion. Currently, life exposures accounted for less than £400 million, with non-significant uplift in NPLs coming from expired payment holidays. At the bottom of this slide, we can see the solution provided to SMEs and corporates in Spain in terms of the ICO-guaranteed loans we have granted €11.9 billion so far. And finally, in the UK, TSB has granted around £600 million in bbls [ph]. These loans, as you know are 100% guaranteed by the government. Turning now to sustainability in Slide 16; over the last few months, sustainability has continued to be a central topic at Banco Sabadell. We have formally declared our support for recommendation of the Task Force on climate-related financial disclosures. In Spain, we have to continue to launch products that are more sustainable. These include our fixed rate green mortgages, and our new credit cards made from materials that help to reduce our carbon footprint. Moreover, in 2020, we have granted over €1.1 billion in finance for renewable energy projects. Lastly, TSB has announced its plan for net zero carbon emissions by 2013. And with that, I'll hand it over to Tomás.
Tomás Varela: Thank you, Jaime, and good morning, everyone. Moving on to the financial results. I would like to start by going through our quarterly P&L where we have recorded net losses of €201 million mainly as a result of around €400 million worth of different extraordinary and seasonal impacts. Specifically, the negative impacts are the extraordinary costs related to the restructuring plans particularly in Spain, which amounted to €314 million and started with the provisions of €380 million associated with the aforementioned NPA disposals that were carried out in the quarter, €115 million due to the migration of loans to a Stage 2, along with €62 million of provisions at TSB-associated recharges relating to the treatment of some customers in arrears. I would like to highlight that in order to finance the sufficiency plants and some NPA disposals; we sold government bonds from the help to collect portfolio generating capital gains of €599 million. Finally, we recognized the effect which is actually the levy on deposits taxed by the regional authorities in Spain and the deposit guarantee fund -- annual payments that usually take place in the fourth quarter of every year. This amounted to €146 million. Turning to the annual P&L. This year, we are practically at breakeven due to the negative impact of around €700 million of one-offs. In addition to the items I just mentioned that have impacted the quarterly P&L, the annual results have also been impacted by credit provisions, which amounted to around €650 million and were related to the new environment generated by COVID-19. Finally on the positive side, we have gained €293 million on the sale of Sabadell asset management which involves entering into a partnership with Amundi in order to work together and foster this business. We will now go through the different items of the P&L as we usually do. During the quarter, NII increased by 15% [ph] and was mainly boosted by the good performance of loan volumes, particularly in the UK, what we saw high volumes of new mortgages and the partial recovery of overdraft fees. At the same time, factors that reduced NII included lowered yields and the ALCO portfolio contribution. In the year, NII fell by 6.2%, driven by the same factors and by the 2019 consumer loan securitization. In turns of front book yields with defended prices in both, loans and credit lines to SMEs and corporates. In contrast, there was still considerable pricing pressure in consumer loans and especially mortgages. Noticeably and despite the low interest rate environment and tight competition, overall we have managed to protect our front book yield. Regarding group NIM, this increased in the quarter due to a higher customer spread and a lower wholesale funding cost. Customer spread increased slightly in the quarter as a result of the lower cost of customer funds. Moving now on to our fixed income portfolio. As I mentioned before, this quarter, we sold the Spanish and Portuguese government bonds from the held to collect portfolio in order to finance our restructuring plan in Spain and some of the institutional NPA disposals. These transactions have generated substantial capital gains of around €600 million and we still maintain hefty unrealized capital gains of €1.2 billion after the sale. Moving on. Looking at fee income, this quarter fees have increased by 7%. This growth has been driven by both service and asset management fees. In this regard, service fees increased by 3% as a result of the good performance of syndicated loans. Nevertheless, it is worth highlighting that service fees related to customer activity and transactions remain constrained as a result of the lockdown measures and restrictions that were put in place to tackle COVID-19. On the other hand, asset and wealth management and insurance fees were the other drivers of growth benefiting from both fourth quarter's seasonality. Leading now, the revenue line to one side moving on to costs. Total costs increased in the quarter as a result of the restructuring cost of the efficiency plan in Spain. Expenses related to the restructuring plans in both Spain and the UK also had an impact on total costs. Additionally, I would like to highlight the positive strain of the recurring cost base which keeps decreasing quarter-on-quarter and year-on-year driven by lower staff expenses at ex-TSB level due to COVID-19 and lowered general expenses at TSB. In this context, recurring costs decreased by 3.4% quarter-on-quarter and by 2.4% on an annual basis. Moving on to credit provisions. I would like to highlight that credit cost of risk ended the year at 86 basis points, in-line with the guidance of 85 to 90 basis points. On a quarterly basis, credit provisions increased by €150 million as a result of the migration of loans to Stage 2. However, it is also worth noting that TSB's provisions decreased given the improved macroeconomic outlook, once no-deal Brexit had been rolled out. In addition, on an exceptional basis, this quarter we recovered €325 million of additional provisions related to the aforementioned NPL sales. By executing these disposals, we have offloaded the remaining all NPLs that we had kept from the previous crisis. Finally, let me also highlight that COVID-19 provisions were around €650 million in the year. Now in the following section of the presentation, we will look at the key balance sheet metrics. We started this section in Slide 28 of the presentation by giving an update on the breakdown of group performing loans and the exposure to sensitive sectors, as well as an update on the structural analysis that we presented in Q2. The portfolio mix and exposure to sensitive sectors have remained relatively stable in the quarter. 67% of the portfolio is collateralized. The exposure to the most sensitive sector remains at circa 8% while the proportion of equal lending increased by two percentage points in the quarter. The bottom-left chart shows that actually the level of debt-to-assets [ph] of all the different segments of micro enterprises, SMEs, corporate et cetera has remained pretty stable since May. Month after month, which is a sign of how the financials of the SMEs and corporates are evolving and therefore, how their credit worthiness is being kept up until now. The structural analysis update shows a multiplier of pre-COVID TB [ph] levels which remains that 1.3x in the base scenario and increases from 1.8x to 1.9x in the stress scenario, and it's worth mentioning here that if we look at the 86 basis points of cost of risk that we achieved, the multiplier to the last year corresponding level is around 1.9x, therefore showing that we've provided conservatively for COVID-19. In Slide 29, you can see that our group NPL ratio was improved significantly this quarter to 3.6%, mainly driven by 1 billion of NPL disposals and low levels of NPL inflows from 90 days past due loans in the quarter, which demonstrates the effectiveness of the support measures that have been put in place with COVID-19. Our NPL coverage ratio remained stable at 56%. Even after disposals of vintage NPLs, the Stage 3 coverage ratio stood at 39%. On the top right-hand side, we highlight the NPL exposure by stages reflecting changes in the volume of loans classified in each different stage. Finally, we have residual exposure to foreclosed assets of less than €1.4 billion, of which 95% are finished products and 76% are properties that have been repossessed in the last four years. Turning now to Slide 30, the group once again ended the quarter with a strong liquidity position reflected in an LCR of 198% and €48 billion of high quality liquid assets. The loan-to-deposit ratio ended the quarter at 98%. Finally, as we showed last quarter in terms of central bank funding, we currently have €27 billion of outstanding TLTRO III and as mentioned in the highlight section, we have an option to withdraw an additional €5 billion from March this year. In terms of TFS, we have £3.1 billion outstanding which will likely be rolled out into new TFSME facilities. Moving on to capital on the following slide. We show the evolution of the group CET 1 ratio in the fourth quarter. Starting from the reported CET 1 ratio at the end of the third quarter and following the graph to the right, we show the different drivers and capital impacts in the quarter. As the main positive impact we have the new treatment of IT software which added 45 basis points to the ratio. Then as negative factors, we have firstly some regulatory impacts expected in 2021 that went front-loaded [ph] this quarter, which reduced the ratio by 27 basis points. This is mainly explained by 10 basis points from the final application of TRIM to a low default portfolio, 88 basis points from the effect of the secured models update at TSB and six basis points from the early absorption of all the RWAs [ph] covered by the asset protection scheme. So, let me highlight that we have completed the application of TRIM and we have also absorbed their remaining RWAs under the asset protection scheme before the maturity of the scheme in July 2021. Secondly, organic capital generation which includes a quarterly pretax loss, higher intangible asset balances, all the organic reductions or deductions and the variation of organic RWAs. All in all, organic capital generation subtracted 17 basis points from the ratio. And finally, the IFRS 9 transitional reduction that had the negative impact of 38 basis points which is related to the migration of some loans from Stages 1 and 2 to a Stage 3, and also due to the reduction of the provisions that were phased in from the beginning. All these elements bring out CET one ratio to 12.6% and our total capital ratio to 16.1%. Finally, our MDA buffer stands at 357 basis points, above our requirement of 13% including the Tier 2 bonds issued last month. Regarding our MREL requirement, it is worth highlighting that we are already complying with the new requirements that are now based on both risk-weighted assets and leveraged ratio exposure. In terms of risk weighted assets, our requirement for 2022 is 23.8% and we are already at 24.75%. And if we look at our requirement based on leverage ratio exposure, the requirement is 6.22% for 2022 while we are already at 9.25%. We are also well above the subordination requirement for both metrics. And with this, I will hand over to Jaime who will conclude our presentation today. But first, let me just say that this is my last results presentation with Sabadell. I have many reasons to be grateful to my bosses, my colleagues in Sabadell, and very, very, very specially to my teams. But I will find the right forum [ph] to do so. Here and now, I want to express my gratitude to all the persons, market participants that I have met over this almost 20 years, with many of whom I have enjoyed a long lasting professional but also candid and close personal relationship for which I am deeply grateful. Also for your interest and support following us over all this time. I will see some of you shortly in the roadshow. Jaime? Thank you.
Jaime Guardiola: Thank you, Tomás. To end our presentation today, I would like to highlight our main achievements during 2020 and our key priorities for 2021. Firstly, despite the lockdown, we have consistently ensured most operational and service continuity without lowering our level of service. And of course, we have done that while taking care of our customers and employees. Secondly, we have continuously demonstrated an outstanding commercial dynamics [ph]. Even when a very severe lockdown was in place in second quarter, we originated more than €7 billion of ICO-guaranteed loans in Spain and more than £5 billion of payment holidays in the UK. Certainly, we have created long-term strategic partnership to enhance our offering and our customer experience through the alliance of Sabadell Asset Management with Amundi. Regarding costs; costs in Spain, we have executed the highly successful efficiency plan, which will reduce our cost structure going forward. And in the UK, TSB has made substantial progress on its restructuring plan, which is expected to complete one year ahead of the schedule, while increasing its commercial momentum. As a result, we expect TSB to breakeven in 2021 on a standalone basis. Additionally, this quarter we have loaded practically all the vintage and legacy NPAs which has furthered the risk our balance sheet and substantially improve the composition of our problematic stock. Finally, this year, we have integrated sustainability into Sabadell business model and strategy with examples of these are the launch of the Sustainable Development Goals bond framework and the inaugural issuance of €500 million of green bonds. On the next slide, we show our three main strategic priorities going forward. This will be developed in our new strategic plan, we will be presenting in May soon after the first quarter's results presentation. We will focus on our domestic market where we have a solid franchise. We will transform our retail banking business and generate efficiencies using the group's capital and resources. And thirdly, we will boast our leadership in Spain SME segment consolidating our solid position in a highly profitable segment of the business. To sum up, based on these pillars we will focus on creating value for Banco Sabadell shareholders. And before we move on to the Q&A section, let me share with you a couple of more personal comments. Bringing up on the theme that I opened the meeting with and in a similar vein to what we just had from Tomás. I would like to close this morning's presentation by saying that it has been a real privilege to lead Sabadell over the last 13 years. I would like to thank everyone in this room for your support and interest in Sabadell. I would also like to take this opportunity to thank all of those who have gone to such great lengths behind the scenes to make these results presentations possible. On a more personal note, it has been a real pleasure to work with Tomás. I would like to thank him on behalf of everyone at Sabadell for his enormous contribution to the bank. I have every confidence that under the new leadership team, the bank will continue to go from strength to strength. Finally, I would like to thank everyone who has been following Sabadell since I first joined the bank. Thank you, all. And with that, I will now hand it over to Lluc to kick off our Q&A.
Lluc Sas: Thank you, gentlemen. We will now begin the Q&A session. As we only have a limited amount of time available, I would kindly ask you to limit the number of questions to no more than two. So, operator, could you open the line for the first question, please?
Operator: Thank you so much. And the first question comes from the line of Ignacio Ulargui from Exane BNP Paribas. Please go ahead.
Ignacio Ulargui: Thanks very much for the presentation and all the best to Tomás and Jaime. I have two questions. One on NII. You have covered the beat, then the main headwinds and tailwinds, but what should we expect in terms of group NII into 2021? And how confident you are on meeting the TLTRO benchmark, given the trends that we see in London with large corporates around 1.8% quarter-over-quarter? And then second one is, if you could provide a bit of color on what has been the migration that has happened in between the stages, particularly focusing on the Stage 3, but there has been the €700 million migration in the quarter. Thank you.
Jaime Guardiola: Tomás?
Tomás Varela: Thank you, Ignacio. Well, as for NII, what we see for next year -- and I will be relatively contained in terms of guidance, since as you know the new strategy will be communicated in May, and therefore, there you will see the whatever is disclosed in terms of the future -- but what we see in terms of NII is pretty much disclosed in the slide in the presentation, actually. So, it's true that there is a headwind, given the reduction of the ALCO portfolio. Also, it's more than offset by the additional benefits from the TLTRO. We've seen and we keep seeing going forward a strong volume performance and also the opportunities in terms of managing prices on deposits will contribute to a strong NII performance. Which in the first quarter, we'll see the headwind of the ALCO, but at the same time, the other factors also mitigating. In terms of migration of unlikely to pay to a Stage 3, this has been driven by actually the environment in terms of their expectations for all of us banks to be very proactive in trying to anticipate and being conservative on the classification of exposures in the COVID situation. So, we did this and we had also anticipated that we would do it in our previous result presentation and we would complete the analysis over the fourth quarter, and this is what we did. It's a result of this thorough and individualized analysis trying to follow the guidelines of not being automatic in anything on classifying on or not classifying exposures into stages, but being careful and also very conservative.
Lluc Sas: Okay, thank you. Can we move on to next question, please?
Operator: Thank you so much. And the next question comes from Carlos Cobo from Societe Generale. Please go ahead.
Carlos Cobo: Hello, gentlemen. Thank you for the presentation and all the rest in the next stages for the future. A couple of questions. The first one is just to clarify, touching on the €150 million positive impact on preposition profit from the restructuring plan. I'm not sure if I got all the numbers correct today because the sound wasn't great. But have you said that the cost savings will be around €141 million and that they are expecting lower NII from the ALCO contribution of around €76 million next year? Does that mean that just you've sold more ALCO than initially planned in and that's like downgrading the potential, possibly being back home per provision profit? Am I reading that correctly, please? Secondly, if you could discuss briefly, what are your feeling on the initial conversations regarding a potential divestment of TSB? I'm still confident that that could free up substantial capital to continue to finance new efficiency savings in the rest of the group? Thank you very much.
Tomás Varela: Thank you, Carlos. You are right in the in the figures. So it's 75, the amount of NII that is being given up through the sales of the ALCO portfolio and 115 day savings in the first year but, also these €75 million actually are the result of sales that we have done to cover for the additional charges due to the sale of the NPAs. Therefore, the amount actually of NII given up due to the coverage of covering the extraordinary costs of the restructuring costs is some €41 million. So, we will see this savings in the P&L in 2021. Notice that we've already executed part of the savings in this year in the current level with a decrease of 2.4%. So when we've been referring to savings of around 5% of the base cost. Part of them have been already achieved this year, and will be completed next year. As for the additional NII given up to the €75 million due to the sales that we've used to cover for the charges of the NPA sales, we will see also savings in cost of risk going forward from those assets and also in the costs related to manage those portfolios. So there will be also some savings that are related to the sale of these NPA on top of the risk in that they mean. As for the second question, Carlos, there is no change over there. But Jaime please?
Jaime Guardiola: No one is saying this that there are -- there is no changes in our position. And as we always explain and management of the board we will consider any strategic options that would create value for our shareholders.
Lluc Sas: Thank you, Carlos. Can we move on to the next question, please?
Operator: Thank you so much. And the next question comes from the line of Maksym Mishyn from JB Capital. Please go ahead.
Maksym Mishyn: Hello, good morning, everybody. Here is Max from JB Capital. Thanks for the presentation and taking our questions. Good luck to you guys in new endeavors. And I have one question on capital and one on asset quality. And the first one on capital and now that you have front loaded some of the regulatory impact that you've been expecting for 2021. Is there anything left that can negatively impact your capital this year? And the second is on the asset quality? And how do you see your cost of risk evolving in 2021? You mentioned that the disposals of NPAs should help getting a lower cost of risk. And when do you expect NPLs to pick? Thank you.
Jaime Guardiola: Yes, thank you Max. As for the first one, so for 2021 what we see is a stable path around the levels of 12%. So, the small variations can come from how eventually RWAs inflation behaves in the year in comparison with an organic generation. And we see there the potential range of variation being lower than 10 basis points around the level of this 12% and for the rest of stability. We don't expect for 2021 a specific regulatory headwinds or challenges. The next known one is the EVA [ph] guidelines. This could be in 2022. 2021 depends some of us see it in 2022, some in 2021. The impact that we see coming from this is like the range lower than 15 basis points and an organic generation will cover this. And the second one was sorry. 
Maksym Mishyn: On asset quality.
Jaime Guardiola: Okay, asset quality, if you look at the 86 basis points that we posted, I said that it's been like 1.9 times last year's, the equivalent of last year's. For 2021, with the current scenario as challenging asset maybe, we see the level going down, as we've been saying in the last quarters more or less, there are no changes. We see it towards back to the level of last year, but above it. So a little bit less, a little bit lower than halfway from this year to last year's. I hope this is helpful. 
Lluc Sas: Okay, thank you, Max. Operator next question please.
Operator: Thank you. The next question comes from the line of [indiscernible]. Please go ahead. Hi, good
Unidentified Analyst: Well, good morning and again best of luck for you, too. My first question is on the average margin of the company loan book. There has been a bit of pressure over some quarters in recently from 2.2% to 2%. You think that the 2% is sustainable, expecting some big gap in there? How do you see this item? And then the second one is just a clarification on a NII item of €7 million in the quarter, a positive one off if you could clarify please what this is? Thank you.
Jaime Guardiola: So Mario, thank you very much. As for the first one, we see it stable, we are not seeing a huge competitive pressure, we think this can be a stable. And actually one of the drivers for NII this year together with volumes is some spread stability, as we see it now. As for the second one, this is a one off that had to lose with some in yield or interest coming from tax matters from the past, which has been sectorial. And we've recovered this quarter, that's a one off. It's not recurrent.
Lluc Sas: Thank you, Mario. Operator next question, please.
Operator: Thank you. And the next question comes from the line of Britta Schmidt from Autonomous. Please go ahead.
Britta Schmidt: Well, firstly, best wishes from me as well to you both. Regarding my questions on the €700 million reclassification into unlikely to pay, it seems like a rather large classification in just one quarter. Can you give us a little bit more background as to what exactly you've looked at and which portfolios is impacted? Am I right in assuming that in any commercial real estate and large corporate. And maybe you can also tell us what the performing loan growth would have been without the reclassification in corporate. And then secondly, the question on the NPL says it looks like the provisional of €325 million is rather large in relation to the NPLs that were sold, what explained such a such a large discount on the disposal please? Thanks.
Jaime Guardiola: Thank you very much Brita. As for the phase one the reclassification. So basically it was more corporate than the other segments there was a little bit of all segments there, but basically it was corporate based on a conservative approach and demanding approach on looking forward, taking into account cash flow prospects with haircuts due to sectorial impacts. Using this to classify us unlikely to pay and taking into account also the sector exposures and therefore affected more corporate. But no short term signs of and difficulties to pay, right? As for the second one; well, you will remember that last year, we suggested at the yearend results presentation that we would sell portfolios, because we found it more efficient. So those portfolios who could keep going on and recovering working out the usual way. It's more efficient in terms because of number of things, but the regulatory treatment and of course, how selling these portfolios have a positive impact on the perception of the risking of the balance sheet and so a number of reasons, right?  Last year, of course, a haircut that we respected would have been lower and that's what we suggested. This year, the haircut has been higher, because after all, we are in a COVID environment. And therefore there are more sort of cautiousness around these things and therefore, the kind of the market was in a different level, we still felt that it was good to sell them. And we did that's reason that displaying those haircuts. Last year or pre COVID, the level of haircuts that we had anticipated was more or less half the level of or 60% level that we've seen this year.
Lluc Sas: Thank you, Britta. Next question, please.
Operator: Thank you. And the next question comes from the line of Andrea Filtri with Mediobanca. Please go ahead.
Andrea Filtri: Yes. So first of all, thank you for all of our interaction in the past 12 years and all the best. As to my questions, did I understand correctly that there could be further repricing of fees in 2021? And our cost of risk clarification. Thomas, you said before, indicating you're going to guidance for cost of risk for 2021 as midway between last year and the previous year. Did you mean in between 2019 and 2020 reported cost of risk? Or can you just clarify specifically, which years you were talking about? Thank you.
Tomás Varela: Thank you very much, Andrea. Yes what I meant was, we finally ended up this year with 86 basis points. I said that multiple to the level of 2019 in terms of NPL provisions, is been around 1.9 times. So it means in 2019, that was half of this around a little bit more, but around 0.5%, half the 86 basis points. Where we see the cost of risk for 2021 is a little bit below halfway this level. So more or less 60% down the level of this year to last year, right? This is more or less what we say it is consistent with what we've been saying in the last quarters.
Lluc Sas: Okay, let's move on to next question.
Operator: Thank you. And the next question comes from the line of Stefan Nedialkov from Citi. Please go ahead.
Stefan Nedialkov: Hi, guys. Good morning. It's Stefan Nedialkov from Citi. Best of luck to both of you going forward. Two questions on my side, the first one is actually a follow up to Carlos question on the €115 million of pre provisioned profit savings that you expected as of last year. So is it fair to assume that this has now gone down to around €65 million from €115 million or just €141 million of cost save minus of cost save minus €75 million of the ALCO NII headwind. So 141 minus 75 equals 66, which is down from €115 million as of last year. And my second question is on potential NII levers. You mentioned that you have been charging deposit fees on SME and corporate deposits. Can you give us a feel for what the scope of the charging right now? What percent of your deposits have been charged those deposit fees? And what the level of the depository is equals to the ECB repo rate. Thank you.
Jaime Guardiola: Thank you, Stefan. Well, I will try to clarify the question around the preparation. So, this year, first of all you need to try to compare with the recurring level this year. So, if you look at the recurring level this year, the increase in provision for 2021 as compared with this will be in the range that you had come up with before today's presentation at the beginning. So, you will find these around this €100 million, if you compare the current level this year with 2021. So, the fact that we are disclosing the savings with the NII that we've given up for all the total sales of the asset protection scheme that amounts to €75 million; this actually is offset by other things. And there are also savings below the level of the provision profit related to this extra €30 million that we've given up as a result of the sales that we've done to cover the charges for the NPL sales, right? There are other things that offset this slight decrease at the level of preparation profit. So if you look at the recurring level, again, in 2021, will see an increase around this level that you started mentioning, right? As for the second one, we are not disclosing the exact levels of pricing that we are imposing on the positive will, forgive me for that right?
Lluc Sas: Okay, operator, could you connect the next caller, please?
Operator: Thank you. And the next question comes from the line of Marta Sanchez Romero from Bank of America. Please go ahead.
Marta Sanchez Romero: Thank you very much. Just a follow up on the on the NPL sales. Could you be a little bit more explicit on the loss given default, because I'm trying to compare that with the current stage three, coverage 41%, which seems low? Regarding to this, according to your pillar three, you had €1.4 billion of gross NPLs older than five years, back in June, what's the balance today after your disposals? And a last question, if I may, could you please provide an update on the status of a potential sale of TSB? And is this still an option that you are exploring? Thank you.
Tomás Varela: Thank you, Martha. So the LGV of the sales, the 1.2 billion sales that we've realized this quarter is around over the gross value is around 70% to 72%. If you are trying to tie this with a disclosure with €360 million of NPLs over the last three years, here the coverage is around 60%. So if you try to compare the two, which doesn't necessarily mean that this is going to be the case, but because as I said, the assets that we saw this time around were much older than those, or these €360 million of net asset value. But if you try to compare this, you would come up with a 10% of the gross value that basically would be less than a 30% of the net value. So around close to around or a bit lower than €100 million. We don't have plans at this moment to sell these assets or to sell portfolios with these assets. But the important thing here is that this is the exposure that we have of NPLs all there. So, they pass you NPLs older than three years. And this is very important because it means that their portfolio is absolutely current. In that of the second one Jaime?
Jaime Guardiola: Okay and regarding your second questions, as I said before, there are no changes in our position. And as we have always explained, management and the board will consider any strategic options that will create value for the shareholders.
Lluc Sas: Okay. Let's move on to next question, please.
Operator: Thank you. And the next question comes from the line of Carlos Peixoto from CaixaBank. Please go ahead.
Carlos Peixoto: Hello, good morning. First of all, thank you very much, I mean for all the years and good luck for the future. Now, we're going to questions. My first question would actually be on the stage two loans migration. So explain a bit what happened with stage 3, so we're wondering here, what segments and what type of situation and what are the drivers for the reclassifications on stage 2, that we saw in the quarter as well. And the second question was actually on your expectations for the illusion of fee income throughout 2021. And finally, as the third question, if I may on costs, which would be basically, the press has reported on the possibility of somebody else carrying out an additional restructuring plan this year, could you share some color on whether that will be the case? Or what can we expect there in following ‘21? Thank you very much.
Jaime Guardiola: Thank you, Carlos. Again, migration two to stage 3, we had a net increase of €3.8 billion of migration to stage 2 in the quarter. And this entailed €115 million of provisions. At TSB we have a net reduction of €1.3 billion of stage 2, which implies a reduction of €22 million in provisions. The kind of criteria we use for this was related to the evolution of payment holidays, that had in TSB for instance had in the second and third quarter basically, the second, a significant increase due to the volume of customers that applied and achieved payment holidays. And therefore, being very cautious about what this meant, and using some other indicators in terms of the credit worthiness that wasn't necessarily meaning that they would have difficulties that it's been proven afterwards, there were classified as stage 2.  Then this has been reduced as all those customers have ever resumed, or the bulk of customers have resumed at payments normally. In terms of x- TSB, the increase has been in the fourth quarter. The criteria use has been also again, as I described earlier, regarding how we've come up with the reclassification to unlikely to pay. Also for a stage two we've taken into account some short term indicators in terms of stress and liquidity, sectorial views on how looking forward, how the heat could be in terms of haircuts on revenues. And also trying to undertake a view on how the cash flows of these different customers would behave. In terms of individuals we've taken into account their situation in terms of employment or unemployment or their situation if they had a furlough for instance, and in which sector they work or they receive the far lower or their payroll from this kind of thing very detailed, very analytical, very data driven criteria to be used. And as I already said that for stage 3 it was mainly forward looking cash flows using sector views, haircuts expectations, very conservative. And in terms of first question, sorry the second and the third. We see positive trends for fees, as we saw for NII in the year. We need to remember that we had a third quarter in 2020 that was very good, a significant rebound driven both by x-TSB very significantly, because in the UK, the pressure on revenues was very significant in the second quarter. We've seen a fourth quarter here, even in a situation where again, the restrictions and partial lock downs have been in place in which we've been seeing both also in TSB a good behavior, powerful behavior of revenues. So we still see activity. And we see this also going forward, as we've highlighted in the in the second slide, I think the presentation, one of the levers we have is to keep going through the policies of customer loyalty, and charging fees and commissions for where we don't have customer loyalty. And therefore, this is been a path that we followed already in the past and where we still have potential.  So based on all that, we see potential for growth. In terms of cost and the possibility of another exercise or a restructuring exercise this will be part of the strategy plan release that we will hold in May, and you will allow my place to not disclose anything at this stage.
Lluc Sas: Okay. Can we move on to next question, please?
Operator: Thank you so much. And the next question comes from the line of Ignacio Sanchiz from UBS. Please go ahead.
Ignacio Sanchiz: Hi, good morning and join my colleagues and thanking you for all these years and wishing you good luck for the future. Couple of quick questions for me and the first one is on NII. Most banks seem to be quite confident on meeting the TLT [ph] or target. If I have a look at the numbers between September and December, there seems to be like 1% decline on the stock looks eligible. So what do you expect especially considering this would be the legacy pick up in the quarter? And what makes you confident on that? And then the second question is on cost of risk, obviously if you want to go beyond ‘21. But then do you feel that declining ‘21 should be followed by or declined ‘22? Are we basically talking about kind of spreading the cost of risk actually over a longer period of time, given that the supportive schemes from the government are encouraged taking place [ph]. Thank you.
Jaime Guardiola: Thank you, Ignacio. Once again, and as for the first one, we are confident that we will meet the requirement. It's true that you've pointed out to some variations that we've seen in the quarter, but those are actually one of that for the requirement we are flat actually. And so therefore, we don't have at these stage significant headwinds. So, we are confident. As for the second one cost of risk, we see a sustained path downwards. So, actually IFRS 9 should account for, so there is a significant abrupt change in the environment. IFRS 9 should actually absorb upfront, almost all the effect of such change, right? So what we are seeing is in 2020, even if we haven't seen a significant behavior in terms of NPL inflows with, we actually posted twice as much provisions as we had last year. This means what we all banks in general have done is building under IFRS 9 and the right thing is building buffer for the future NPLs if they happen. So that's why we say that the peaking provision is in 2020. The peak in the NPL ratio I think is in 2021. A bit above where we are and then cost of risk will behave in our view going down as I described earlier, and we will continue to go down in 2020 to back to a more normal pace. So actually, the guidance I gave for 2021 is not back to normal not back to pre COVID. So, allowing for additional effects from COVID. With the current scenario, what we are seeing with the levels of with, including the challenge of the third wave on the current lockdowns that we are seeing. This is our view.
Lluc Sas: Okay, thank you. And we still have time for one additional question. Operator, please.
Operator: Thank you so much. And the last question comes from the line of [indiscernible]. Please go ahead.
Unidentified Analyst: Hi, good morning. Thank you for the presentation, all the luck in the future for you guys. And thank you very much for these years. My question is on TSB, you can provide some color for cost of risk going forward, and volume growth that you expect for these 2021? Thank you very much.
Jaime Guardiola: Thank you, Fernando, what the quarter in TSB us for growth has been, as you've seen in the presentation, outstanding, it's been very good. Interestingly, the market has we had a performance been very good in terms of volumes, and also better than in previous quarters in terms of spreads. So this is going to be a driver for business activity and NII. And in terms of cost of risk, we see the same path that I've guided to in terms of the whole group. So probably actually a little bit better the peak in provision has been in clearly in 2020. And the decrease in TSB would be quicker towards the pre COVID with this scenario. So I think this is especially after what happened this quarter in terms of one of the uncertainties there was of course the Brexit outcome, as you have seen in the presentation, the change in the scenario given that eventually there was an agreement meant a decrease in need for provisions. And therefore these will be also there for 2021. And if you look at other factors such as for instance, how the macro economists are thinking about the UK in 2021 and also how the reaction in the market and in the housing prices, for instance, is being lately. I think the outlook there is relatively with all the uncertainties is relatively positive.
Lluc Sas: Okay, thank you, gentlemen. Thank you, Thomas. That concludes our Q&A session today. As always, Investor Relations team is at your disposal, and we'll be happy to take any further questions you may have. Thank you everyone for participating and for joining us today. Have a great day.